Operator: Good morning, and welcome to United Community Banks' Fourth Quarter Conference Call. Hosting the call today are President and Chief Executive Officer, Jimmy Tallent; Chief Operating Officer, Lynn Harton; Chief Financial Officer, Rex Schuette; and Chief Risk Officer, David Shearrow. United's presentation today includes references to core pretax, pre-credit earnings and other non-GAAP financial information. For each of these non-GAAP financial measures, United has provided reconciliation to GAAP in the Financial Highlights section of the news release and at the end of the investor presentation. Both of these are included on the website at ucbi.com. Copies of today's earnings release and investor presentation for the fourth quarter were filed this morning on Form 8-K with the SEC. And a replay of this call will be available on the company's Investor Relations page at ucbi.com. Please be aware that, during this call, forward-looking statements may be made by United Community Banks. Any forward-looking statements should be considered in light of risks and uncertainties described on Page four of the company's Form 10-K and other information provided by the company in its filings with the SEC and included on its website. At this time we will begin the conference call with Jimmy Tallent.
Jimmy Tallent: Good morning everyone and thank you for joining us for our fourth quarter conference call. We have significant accomplishments in the quarter and throughout 2013 and I look forward to discussing them with you today. Let me begin with some highlights from the quarter. We earned net income of $15.9 million or $0.22 per share. We grew loans by $62 million or 6% annualized. We increased core transaction deposits by $22 million or 3% annualized. For the year we were up $224 million or 7%. Our provision for credit losses was $3 million and the net charge-off were $4.4 million which are the same as the third quarter. Non-performing assets were $31 million or 42% of total assets which is similar to the third quarter. As I am sure you have already read we received regulatory approval to retire all of our preferred stock without issuing common stock. We redeemed $75 million of our old TARP Series B preferred on December the 27th and redeemed the remaining $105 million on January the 10th. As of today the only preferred stock that remained outstanding is $60.6 million of Series B preferred that is callable later in the first quarter. Our efficiency ratio was up slightly from the third quarter to 60% and I will explain that in a few minutes. And all of our capital ratios remain solid. I want to take a moment here to reflect on the accomplishments of the full year 2013. They are significant to setting the stage for where we will go from here. We began 2013 with a number of specific goals and we believe we have accomplished and moved forward with our strategic growth plans. I have shared our progress on those goals throughout the year. As we entered the fourth quarter we had accomplished all but two; the full redemption of our TARP preferred stock and the termination of our MOU with the regulators. The TARP has now been completely redeemed as I mentioned. The bank MOU was terminated just before year-end by the FDIC and state regulators. And last week the holding company MOU was terminated by the Federal Reserve Bank and state regulators. This and other progress of the past year has been nothing less than transformative for United. It has positioned us to return to offence as a financial services leader in our markets. As we work to resolve legacy challenges we have also been setting the stage for that return. As one example, during 2013 we added highly skilled relationship managers in strategic markets as well as key back office support managers. We also expanded our commercial and retail offerings with new products specifically tailored to meet the financial needs of business and retail customers in existing and new markets where there is opportunity. As part of that strategy we launched a new healthcare group in Nashville, Tennessee and added commercial lenders in Greenville, South Carolina. The geographic expansion and new talent are beginning to achieve a substantial return on investment. At the end of the year our Nashville healthcare group had $20 million in loans outstanding and in Greenville we had more than $116 million in loans closed during the year with $60 million outstanding at year end. Also with the recent regulatory approval that allows us to take deposits Greenville is now generating solid deposit growth. We did all of this while improving our overall operating efficiency and while maintaining one of the highest customer satisfaction ratings in the country. Now I will review the drivers of our fourth quarter and discuss our plans going forward. Core pretax pre-credit earnings were $27.9 million, down approximately 1 million from the third quarter. You can see this on page 10 of the investor presentation. The decrease was driven by lower mortgage fees and slightly higher operating expenses, which I will discuss in a moment. Our net interest margin remained unchanged from the third quarter at 3.26%. We achieved a $1.6 million increase in net interest revenue by growing earning assets. There are few items that affect the comparability of the third and fourth quarter margins. You might remember from our October call that our third quarter note issuance overlapped the repayment of the sub debt and therefore reduced the margin last quarter about two basis points. In the fourth quarter we reclassified hedged and effected these gains and losses from other fee revenue to net interest revenue. These reclassifications were small and have been reflected in all prior period results. In the fourth quarter they added approximately three basis points to the margin. We continue to experience pricing pressure on loans. That is likely to remain the case in the near term making loan growth critical to increasing net interest revenue. In the fourth quarter we grew loans by $62 million or 6% annualized. Similar to the third quarter we had net loan growth in every loan category. Our new loan production is shown on page 18. Most of the net new loan growth for the fourth quarter was in the Metro Atlanta and South Carolina regions. We also saw solid production across the rest of our footprint with $50 million in North Georgia, 26 million in West and North Carolina and 23 million in Tennessee. Our new healthcare group in Nashville and our South Carolina commercial lenders added $41 million in net loan growth during the fourth quarter. We saw a solid increase in fee in our lending continuing a steady trend over the prior five quarters. On the retail side solid growth continues with our in-house mortgage product we introduced a year ago and with our home equity line of credit. During the fourth quarter we funded $84 million in balances under these programs. As for our securities portfolio we continue to reinvest most of the cash flows into floating rate securities where available. Floating rate securities account for 42% of the total securities portfolio. And now to core fee revenue; you'll find the trends on Page 10 of our investor presentation. Fourth quarter core fee revenue was $13.2 million, down $747,000 from the third quarter due to the slowdown in mortgage refinancing activity. Mortgage fees decline by $841,000.We closed $55 million in mortgage loans in the fourth quarter compared to $77 million in the third quarter and $100 million in the fourth quarter of 2012. Most of our other fee revenue categories remained flat from the third quarter with the exception of brokerage fees, which were up $87,000 and other fee revenue which was up $297,000 due to unrealized gains on equity investments owned by the holding companies. As I mentioned on earlier calls we see a great opportunity to grow the brokerage business within our footprint and are especially encouraged by the results of the past three quarters. Core operating expenses are on page 11. They totaled $41.2 million in the fourth quarter, an increase of $1.9 million from the third quarter but down $296,000 from a year ago. The increase from the third quarter is mostly in salary and employee benefits. A little more than half of this increase is due to higher incentive compensation for meeting certain financial targets and during the fourth quarter completing strategic initiatives. Another 600,000 of the increase is due to lower amount of deferred direct loan origination cost. We continue to invest in experienced staff who can help grow our business and revenue. To this end, and as I have said before, we will see some fluctuation in personnel expense moving forward. Fourth quarter occupancy expenses were $3.7 million, up $356,000 from the third quarter. The increase was due to a write-off leasehold improvements associated with the consolidation of two offices in the [inaudible]. Our FDIC insurance assessment was down $600,000 from the third quarter and we expect an additional $200,000 decline in the first quarter of 2014. Professional fees were down $548,000 from the third quarter to $2.1 million. About half of the decrease was lower legal fees which we expect to continue trending downward with lower loan workout activity. Consulting fees were down from the third quarter as well. Our fourth quarter operating efficiency ratio was up slightly to 60% from 58.5% last quarter. The increase in incentive costs in the fourth quarter drove this increase. Our core efficiency ratio on a run rate basis still remained around the third quarter level. Our effective tax rate for the quarter was 35%, down from 38% in the third quarter. We reported that our third quarter effective tax rate was elevated from 35% to 38% by the effect of a net tax charge during the third quarter. In 2014 we expect our effective tax rate to increase to the 37.5% range due to our expectation of higher pretax income. Pretax income was lower in 2013 by the loss resulting from the classified asset sales during the second quarter. Consecutively tax exempt revenue represented a much larger portion of our pretax earnings in 2013 than it will 2014. Our effective tax rate for 2014 will be about 2.5% higher as a result. Before we open the call for your questions I want to make a few closing comments. As I said earlier in the call, 2013 was a transformational year for United. We began the year with a clear understanding of the goals we needed to accomplish, things we had to achieve to move our company forward. We had a strategic plan of action for how to accomplish those goals and our bankers delivered on every one. I find it encouraging to look back at the year just completed, especially as we look forward because it shows what this team is capable of in 2014 and beyond. A look back shows how much can change in just one year with a solid actionable plan and a talented and energized team. Today we are no longer restricted by the MOUs. Our balance sheet is clean, our capital ratios are strong. We have entered new growth market. We have added skilled bankers to an already talented team. We have recalibrated our expense base and we are building earnings momentum. I am so very proud of all that our bankers have accomplished this past year. Going forward the redemption of our preferred staff will have a significant positive impact on earnings per share. And we redeemed it without a dilutive common equity raise. I have mentioned to you many times our 95% customer satisfaction rating is something that we are very proud of and never take for granted. In banking, satisfying customers means earning and maintaining their trust, confidence and loyalty. In the fourth quarter we were notified by respected market research organizations that our customer service earned national recognition. Our bankers have done an exceptional job serving their customers and I’ll say it again I could not be more proud of them. Our accomplishments over the past year give reason for optimism for the year to come. At the same time we recognize that the economy while better than it was is still challenged and uncertain in some markets. We believe the lending environment will include continued pressure on the margin. We look for overall net loan growth in the mid to upper single digit range with the strongest demand in Metro Atlanta, Coastal Georgia and newer markets of Greenville and Nashville. We expect continued improvement in credit quality with net charge-offs and provisions at or below the third and fourth quarter 2013 levels. We look for continued solid performance from the mix of floating and fixed rate securities in our investment portfolios. As to free revenue we anticipate middle single digit growth driven in part by higher worker’s free revenue from our addition of investment advisors and by increased derivative fee revenue from deeper penetration of our commercial customer base. We expect a decrease in mortgage fee revenue deep in lower volumes in the first half of the year. At the same time we also see opportunities to grow our mortgage business as we add originators in metro markets and obtain their [passing]. We believe operating expenses will be lower driven primarily by lower FDIC assessments, professional fees and credit related costs. We will manage personnel expenses carefully while investing in opportunities to drive revenue growth. The achievements of 2013 are the culmination of several years of hard work, diligence and dedication by our bankers. They have stood their ground during difficult times and positioned us to look forward with optimism. They have kept a steadfast focus on our customers while executing and adapting to the changes in our industry. After the most difficult economic times any of us have ever experienced they have re-established strength and confidence. The coming year won’t be without challenges though we are battle tested and ready. We are also ready for and excited about the opportunities to capitalize on them in ways that better serve our customers as well as rewarding our shareholders. Those are my prepared remarks, and now Lynn, Rex, David and I will be pleased to answer any questions.
Operator: (Operator Instructions). Our first question is from Jefferson Harralson from KBW. Your line is open.
Jefferson Harralson - Keefe, Bruyette & Woods, Inc. : Can you guys hear me? 
Jimmy Tallent: Hi, Jeff.
Jefferson Harralson - Keefe, Bruyette & Woods, Inc. : Excellent. I wanted to ask questions on the -- you are saying your growth businesses, your newer growth initiatives, so can you just talk about the healthcare team, what the loan balances are there? What are the type of projects they are doing, the size of the loans, just kind of give us the nature of that healthcare business?
Jimmy Tallent: Sure Jefferson. Right now we have got two REMs and a portfolio manager, a credit person there. So it’s a small team but very experienced, tremendous depth of experience in the business. Our typical loan sizes range from $10 million to $20 million and kind of [inaudible]. They are typically doing either -- well it’s a mixture of, we’ve done some healthcare REITs, some business acquisition and some business expansion. They are typically in the southeast but headquartered in Nashville, so it’s not local doctor type of things but it’s more healthcare service businesses that will be broader in scope. So it’s been a great business and we’re expecting continued growth out of that operation for ’14.
Jefferson Harralson - Keefe, Bruyette & Woods, Inc. : I know some of the guys have asked the same question of the nature and the scope of what the South Carolina guys are doing. 
Jimmy Tallent: Sure. So really there is three pieces of the South Carolina piece. One is a local community business and we are very excited about that. We are getting ready to open our first local office and we got community bank, REM there, a local president and that’s getting traction particularly as we open the new office. So that will be normal community bank style business. We also we got corporate business there, and we are at about $8 million in that business now with $17 million unfunded that were fund up overtime as we sit. We have got very experienced corporate banker there and looking to add to that team. And then we have got our income property group. That group has been with us the longest and so we have got about $40 million outstanding and about $60 million unfunded. Typically those projects would be $10 million to 15 million in size. We got multifamily office. It’s very high-end developers, again primarily in South Carolina but also throughout the southeast, people that we have done business with for 20 years plus. So it’s really those three elements there in Greenville.
Jefferson Harralson - Keefe, Bruyette & Woods, Inc. : Excellent. Thanks guys. I will pass it on to someone else.
Operator: Next question is from Robert Madsen from Stephens. Your line is open. Sir, your line is open.
Robert Madsen - Stephens, Inc.: Hey guys.
Jimmy Tallent: Good morning.
Robert Madsen - Stephens, Inc.: Hey you have made several moves recently to lower the cost of your capital structure. Could you talk a little bit about what’s left that you might consider paying off or refinancing?
Rex Schuette: Yeah, this is Rex. I will take that. As we talked and as Jimmy noted in his earlier comments we have paid off all of the TARP, the $180 million. We had a small Series A position of couple of hundred thousand. What’s left out there is the Series B preferred stock of about $16.5 million, little over $16.5 million. In addition we have in our structure roughly about $53 million of [TARPs] and that average is about 8.8% and the preferred stock is about 10% right now. So our intentions in looking at that later in the quarter the preferred stock isn’t callable till later in the quarter and we’ll look at that. Our intentions are now to pay 10%, whether we renegotiate it or lower it. You know that’s in our view right now. In the TARPs, that 8.8%, that’s netting about six after tax that’s right now very good tier 1 capital as we continue to look at growth and expansion plans. So that's pretty much our view right now looking at what's sitting out there. We also have some senior notes that we put on this past year as well as senior notes we put on the prior year, which is at a higher rate and we can look at that and also possibly lower the rate on that later in the year.
Robert Madsen - Stephens, Inc.: Okay. Do you have cash at the holdco number available?
Rex Schuette: The cash at the holdco right now is right around $35 million or so and again we can supplement that and we again added senior notes last year. It's more of an ample cover paying down the existing preferred stock and having over two years of cash flow that’s serviced currently.
Robert Madsen - Stephens, Inc.: Okay. And then I guess switching gears could you talk a little bit about the new hires that you made in the fourth quarter or even in 2013 and then kind of give us your thoughts about the loan pipeline headed into 2014?
Jimmy Tallent: Sure I'll start that on the loan side we, as I talked about, hired the healthcare team in Nashville, the Greenville team which we feel very good about. Really we've got a great story to attract talent that we think is only getting better. So we anticipate continuing to make strategic hires as we get through the year. At the end of the year we hired a new producer in Cleveland, Tennessee as well as one more additional producer in Greenville. So I think you will see us continue to add on the production side as we'll get through the year and we feel very good about that. Pipelines continue to be good so we feel, continue to feel good about the $500 million growth goal from the second quarter of ' 13 that we put out. So that's continues to be our target, we continue to feel like pipelines will support that.
Robert Madsen - Stephens, Inc.: Okay. Great. Thanks guys.
Operator: Our next question is from Christopher Marinac from FIG Partners. Your line is open.
Christopher W. Marinac - FIG Partners, LLC: I have one on pipeline but I guess I want to ask a little more about where we see the regional area differ from what we have seen in the last couple of quarters now obviously South Carolina and your other category [inaudible] of the weight you are losing -- that you expect more coming from North Georgia, Atlanta and North Carolina, et cetera?
Rex Schuette: Certainly we expect to see the growth leaders in the past have been Atlanta and the Coastal Georgia piece, this past quarter Coastal Georgia was down because the payoff of the couple of credits that larger credits that we wanted to payoff. So I think you will see Atlanta continue to be the leader. I think you will see Coastal Georgia step up further. We expect to Tennessee to step up further from where it has been. So you will see that change. We think that North Georgia, we don't expect growth out of North Georgia but we expect the declines to moderate and be essentially flat. So I think you will see production come out from that area. So you will some, I think the major themes will stay the same but you will see some slight movements in that type of manner.
Christopher W. Marinac - FIG Partners, LLC: Very well. That's helpful. I guess just a follow-up on sort of your thought about the lower deposit cost further just across the preferred.
Rex Schuette: As far as deposit cost across the footprint I think we are seeing our CD deposit pricing monthly coming around 18 basis points and that's about a year average life on that duration. We don't see much of a decline on that coming through and again I'd say in the other money market and interest bearing categories there that it's pretty well near the bottom. Money market is about 17 basis points and our interest bearing now at about 14. So it’s going to moderate around those levels. So I think your CD pricing with the maturities coming off in the 40, 50 basis point range will help to benefit that category in particular but I think rest will be moderate in third and fourth quarter.
Christopher W. Marinac - FIG Partners, LLC: Okay. Great, Rex. Thanks guys very much.
Operator: Next question is from Taylor Brodarick from Guggenheim Securities. Your line is open.
Taylor Brodarick - Guggenheim Securities, LLC: Great. Thank you. It looks like residential construction and residential land sort of stabilized and I don't know if it's just the worse is past or is there any opportunity for growth in those books?
H. Lynn Harton: All right. Yes actually, this is Lynn, we are seeing some growth out of our residential construction book. We centralized that, got a good very experienced leader in Atlanta and we’ve actually been strategically trying to expand that over the last year. We have done more production, significantly more production this year but out standings are just now starting to grow. The turnover, which is a good thing, is very fast. So the home sales have been very fast. We’re actually strategically looking to enter the national market on the construction side. So we’re targeting some experienced and some, the right builders there so you’re not going to see dramatic growth in those areas and certainly not dramatic growth at all in the land piece but on the construction side we think there is some moderate opportunity for growth.
Taylor Brodarick - Guggenheim Securities, LLC : Okay. And then hearing deposits commentary about Nashville, is there, would it make sense to sort of follow the Greenville plan and try to build a deposit gathering capacity in Middle Tennessee. 
H. Lynn Harton: Yes. We think the first kind of natural step would probably be to add a private banker, to add on to that team and which of course would add to deposit fees to that. So we are considering that, yes.
Taylor Brodarick - Guggenheim Securities, LLC : Great. Thank you very much.
Operator: Our next question is from Kyle Oliver from Raymond James. Your line is open.
Kyle Oliver – Raymond James: Thanks for taking my call. Seeing your branch footprint and where it is today is there anywhere in your markets that you feel, I know you built out in Nashville and in South Carolina but is there anywhere else where you will be looking to grow from here or any surrounding market you are interested in being in overtime?
Jimmy Tallent: Kyle, this is Jimmy. We are constantly looking at the footprint, in some cases to get greater density within our existing footprint, for example the coast offers, we believe some opportunity. There are some pockets in the North Atlanta market that we have an interest in. South Carolina market would be of interest but I don't think you will see us stray from our basic footprint but just try to give a deeper influence into some of those markets. It might be we don't have quite the market share or the distribution that we would like to have.
Kyle Oliver – Raymond James: Okay, great. And now since -- with everything behind you, would you be looking at M&A to go to those markets or do a de novo and then looking at fee income, would you be interested in acquiring that, that way through insurance or brokerage or wealth management?
Jimmy Tallent: The answer would be yes, Kyle. The possibility of acquisition in some of those markets, certainly have a strong interest to us. In some cases would be through a de novo process. It’s still a people driven business and I think that is exemplified very clearly with our expansion into the Nashville as well as the Greenville market. But we will be open to all those various avenues. Again as we have said in the past that in regards to any M&A activity there’s three components that we are looking for; first, a good strategic fit, financially compelling and then it being a low risk transaction.
Kyle Oliver – Raymond James: Okay, great. Thanks for taking my call.
Operator: Next question is from Jennifer Demba from SunTrust. Your line is open.
Michael Young - SunTrust Robinson Humphrey: This is Michael Young on for Jennifer. I just had a question about your residential HELOC product. You started it a while ago now and with the lower introductory rate as those are starting to reset overtime what are you seeing in terms of either matriculation out of the product or into another product et cetera?
Jimmy Tallent: Yeah actually time is good on that. We just did a review on that. We’re actually seeing those balances stick in the high 80% range which is on the high end of what we expected, so a little better than we expected actually. So it’s turning out to work out pretty well for us.
Michael Young - SunTrust Robinson Humphrey: And what’s the pricing that they’re sort of resetting to that have seen in those kind of first tranche?
Jimmy Tallent: So it’s typically time-based. It ranges from [inaudible], depending on LTV and credit score I think weighted average is what Rex, right in the three…? 
Rex Schuette: Yeah, in the mid threes.
Jimmy Tallent: Mid threes.
Rex Schuette: Mid-upper threes.
Michael Young – SunTrust Robinson Humphrey: And do you see any opportunities for that actually to expand now that you know valuations are recovering, do you see people expanding the size of their home equity loans at all?
Jimmy Tallent: Yeah we’re continuing to see good growth in that product and certainly it’s been a cool product. We expect it to continue to be cool product so it’s continued to do well for us.
Michael Young – SunTrust Robinson Humphrey: Okay, thank you very much.
Operator: Next question is from Kevin Fitzsimmons from Sandler O'Neill. Your line is open.
Joseph Adams - Sandler O'Neill: Yeah this is Joe Adams on the line for Kevin. I have a quick question on one-time spread revenue. I know you guys are expecting to have an increase in 2014 but I wonder if you could give a little color on kind of balance sheet growth you are anticipating? And then just as a follow-up we saw the secured portfolio jump a little bit in 4Q. I am curious where that goes from here. That’s going to continue to move higher or kind of level off?
Rex Schuette: Thank you, Joe. I think you know we commented, Jimmy commented on the call on the balance sheet growth and overall and Lynn made a comment on the tiers. I think you know that mix is going to continue in the commercial CRE and again in some of the mortgage product also. I think the impact on fee revenue we do see that, that margin as we commented that we expect margin to, that it will curtail down a little bit. We have a slight decrease going into ’14 that could be in the five to ten basis point range. We do see that hitting an inflection point later in the year and lot of it driven again, Joe by loan pricing that we’re all seeing in the market out there. And you know the spread in the numbers for the quarter when you look at the yields on the loan yields. So we do see that lessening or coming down a little still further into 2014 but we do see offsetting that the loan growth we believe will offset that and we’ll see again increase in net interest revenue as we go throughout 2014. On the securities portfolio we have some excess liquidity in the fourth quarter and again part of our portfolio, a small portion of the portfolio is in CLOs is managed by a third party. Some of the volume in the fourth quarter related to that, that has higher yield in 210-215 range and we don't see that continuing into ’14. I think we see again purchasing traditional either a combination of asset backed CLO or mortgage backed security and that it will probably be in the range closer to the yield that we have in the portfolio. So we don't see the popup continuing, linked quarter going in the ’14, the level of going in the ’14.
Joseph Adams - Sandler O'Neill: Great, very helpful. Thanks guys.
Operator: Thank you. I am not showing any further questions in the queue. I would now like to turn the call over to Jimmy Tallent for closing remarks.
Jimmy Tallent: Thank you, operator and thank all of you for being on the call today. Thank you for your questions. We are excited about 2014, where we will position now. Again I want to say thank you to all of our team of bankers who’ve just continue to do an exceptional job. Thanks for being on the call. We look forward to sharing results of the first quarter here in about three months. Thank you and have a great day.